Operator: Good morning and welcome to the Ocean Power Technologies Fourth Quarter and Full Fiscal Year 2024 Earnings Conference Call. A webcast of this call is also available and could be accessed by a link on the company's website at www.oceanpowertechnologies.com. This conference call is being recorded and will be available for replay shortly after its completion. On the call today are Dr. Philipp Stratmann, President and Chief Executive Officer; and Bob Powers, Senior Vice President and Chief Financial Officer. Following the prepared remarks, there will be a question-and-answer session. Now, I am pleased to introduce Bob Powers.
Robert Powers: Thank you and good morning. After the market closed yesterday, we issued our earnings press release and filed our annual report on Form 10-K for the period ended April 30, 2024. Our public filings are available on the SEC website and within the Investor Relations section of the OPT website. During this call, we will make forward-looking statements that are within the Safe Harbor provisions of the Private Securities Litigation Reform Act of 1995. Forward-looking statements may include financial projections or other statements of the company's plans, objectives, expectations or intentions. These statements are based on assumptions made by management regarding future circumstances over which the company may have little or no control and involve risks, uncertainties and other factors that may cause actual results to be materially different from any future results expressed or implied by such forward-looking statements. Additional information about these risks and uncertainties can be found in the company's Form 10-K and subsequent filings with the SEC. The company disclaims any obligation or intention to update the forward-looking statements made on this call. Finally, we posted an updated investor presentation on our IR website. Please take a moment to review it as it provides a nice overview of our company and strategy. Now, I am pleased to introduce Dr. Philipp Stratmann.
Philipp Stratmann: Thank you, Bob and good morning. We appreciate you joining us. Fiscal 2024 was a great year and a significant step towards positive cash flow in calendar year 2025 for our company. This year saw substantially complete the research and development stage in our journey to profitability and build upon the significant increases in revenue, gross margin, pipeline and backlog we achieved during fiscal 2023. Today, I will focus on the significant developments occurring over the past year and the resulting confidence they provide toward achieving further material progress in fiscal 2025. First, we had several technological breakthroughs. During Q2, we revealed a ground-breaking milestone, the successful demonstration of the WAM-V attaching itself remotely to a buoy and establishing a connection that will enable charging. This achievement underscores our commitment to reshaping autonomous maritime operations by leveraging renewable energy for sustainable charging solution and paves the way for a future where autonomous vessels can operate for extended durations, opening doors to various applications within the maritime domain. We also recently announced we are approaching 15-megawatt hours of renewable energy production from our family of PowerBuoys. The recent launch of our next-generation PB off the coast of New Jersey has materially accelerated average energy production by combining solar, wind and wave energy production capabilities. These numbers show that non-grid connected marine energy production is not just for the R&D community but is a commercially available solution. Finally and potentially most significantly, we announced “Merrows”, our ground-breaking Artificial Intelligence capable Consolidated Solution offering comprehensive ocean surveillance. Through “Merrows”, we're able to integrate OPT's roaming technologies such as OMV with resident technologies like the PowerBuoys to offer an unparalleled level of surveillance and data analysis capability. Merrows sets OPT apart because of its ability to enhance data collection capabilities and provide artificial intelligence capable solutions. With the launch of Merrows, we're not just introducing an overarching solution offering but a pivotal shift in how we view and protect our oceans. Ocean security is national security. And through Merrows, OPT is dedicated to providing their technologies and insights necessary to secure our maritime domains by safeguarding the world's oceans through advanced technology and innovation. Each of these innovations stands as a testament to OPT's dedication and leadership role in supporting the security and protection of global waterways and positions us to capitalize on the expected growth in these areas while solidifying the company's unique position as a ground-breaking systems provider. In addition, we advanced strategic alliances with a number of complementary industry leaders. In April 2024, we announced a strategic alliance with Red Cat Holdings, Inc., a leading aerial drone technology firm specializing in the integration of robotic hardware and software across military, government and commercial sectors. This corporation signifies a material step forward in enhancing maritime domain awareness capabilities for air, sea and subsea defense and security missions. Through this relationship, OPT's PowerBuoy and WAM-V platforms will be integrated with Red Cat's drones, facilitating a new era of autonomous vehicle deployment by combining our sustainable ocean powered solutions with Red Cat's advanced drone technology, we are setting a new standard for naval and border protection operations. Also, in April 2024, we signed a teaming agreement with a major international defense contractor to provide our Merrows suite of solutions with a focus on certain geographic regions. Under the terms of the agreement, the defense contractor will have exclusive rights to provide OPT's MDAS solution within certain international geographic regions. Leveraging OPT's cutting-edge technology alongside the international contractor’s extensive expertise in defense, homeland security and commercial programs, the collaboration should strengthen the contractor's’ capabilities in maritime security and surveillance. This collaboration underscores the opportunity and our commitment to enhancing maritime security globally and positions us to achieve remarkable advancements in this field. In June 2024, we announced the signing of an Original Equipment Manufacturer agreement with Teledyne Marine, a key supplier in maritime technology, inclusive of connectors, instruments and vehicles. This strategic partnership should enhance OPT's product offerings and drive innovation within the industry, providing customers with a turnkey system. Joining forces with Teledyne allows us to leverage Teledyne's best-in-class offerings to deliver superior sensor and ocean technology products to our customers. We believe this partnership further accelerates our growth and enables additional revenue streams. We recently partnered with Unique Group, a UAE headquartered global innovator in subsea technologies And engineering, to collaborate to deploy OPT's WAM-Vs in the UAE and other regions in the Gulf Collaboration Council region. Integrating OPT's commercially available vehicles with Unique's leading position in the offshore energy industry in the UAE should accelerate the adoption of USVs in the region. Working with Unique Group should further accelerate our efforts to deploy USVs globally. The GCC in general and the UAE specifically are rapidly becoming a major focus area for us as we continue our growth in both the defense and security and offshore energy industries. Back home in the USA, we signed a reseller agreement with Survey Equipment Services, Inc., a specialist in the supply of Marine Survey and Navigation equipment. The agreement focuses on the provision of OPT's WAM-Vs domestically. This agreement allows us to leverage SES' offering of survey and navigation equipment and deploy WAM-Vs to SES' customer base. This partnership further accelerates our growth and enables additional revenue streams. Most recently, we entered into a memorandum of understanding with AltaSea at the Port of Los Angeles. The joint aim is to explore exciting opportunities within the blue economy and partnering with AltaSea provides additional opportunities for staging our renewable energy PowerBuoys and WAM-V Unmanned Surface Vehicles for projects in the Pacific Ocean. Lastly, we continue to work closely with various departments and agencies of the U.S. government. With many veterans in our workforce, we are proud and humbled to support our brave war fighters, be that in the areas of mine countermeasures, counter unmanned underwater vehicle efforts or autonomous swarming. Now I would like to transition to another topic. As many of you are aware, during fiscal 2024, we faced challenges from a disciplined shareholder who engaged in the proxy battle and initiated 3 lawsuits against the OPT Board and the company in an effort to seek control of the company without following appropriate governance standards and without offering fair value to the stockholders. Despite his efforts, the dissident shareholder is unsuccessful in this attempt to influence the company's strategic direction. His proposals did not gain sufficient support from other shareholders, reflecting their confidence in our current leadership and strategy. The dissident shareholders subsequently filed to dismiss one of the lawsuits he had initiated. It has become clear that he is attempting to advance his own agenda at the expense and to the detriment of the broader shareholder base. His actions included disseminating misleading information and attempting to undermine the company's reputation. Addressing this situation incurred significant costs, impacting our results for fiscal 2024 which Bob will detail momentarily. Moving forward, we have taken steps to strengthen our corporate governance and improve our shareholder engagement strategies to prevent similar situations in the future. Our focus remains on driving growth and delivering value to all our shareholders. We are committed to maintaining open and constructive communication with our investors to ensure their concerns are addressed proactively. Despite the challenges posed by the dissident shareholder, we have remained resilient and focused on our long-term goals. We will continue to channel our resources and attention towards executing our strategic plans and capitalizing on growth opportunities. In closing, our business is performing well. As a result of the foundation and opportunities I've just described, we remain on track to achieve our previously stated goal of attaining profitability during the second half of calendar 2025. To achieve this, we have very recently implemented a set of measures that include further head count optimization, material reductions in third-party spend and efforts to tightly control and contain costs. These measures are fully implemented and focused particularly on non-revenue-generating engineering and G&A. These measures enable us to continue delivering for our customers, operate the business and execute the strategy we have laid out. Moving forward, we plan to leverage the opportunities in front of us to increase our market presence, expand our geographical focus and improve operational efficiencies. We are confident that these efforts will drive sustainable growth and create long-term value for our shareholders. Thank you. Before I hand back to Bob for his update on the financials, I want to remind you that we are holding a special meeting of the shareholders on August 30 to vote on an increase in our authorized shares to enable us to participate fully in the rapidly evolving autonomous ocean operations market. Now, I will hand over to Bob to discuss our financial performance in more detail.
Robert Powers: Thanks, Philipp. Let's begin with revenue. In Q4 '24, our revenues were $1.6 million, bringing total revenue for our fiscal year ended April 30, 2024, to $5.5 million and representing a 102% increase in revenue over fiscal year 2023. Combined with the 55% growth in revenue we experienced in fiscal 2023, fiscal 2024 revenue increased in excess of 3x over the past 2 years. This growth can be attributed to the conversion of backlog from our strong performance in WAM-V sales and strong growth in orders and pipeline. Our orders were $6.6 million for the year and growing. We expect -- we continue to expect order activity and revenue to ramp for fiscal 2025. Our gross profit for Q4 '24 stood at $0.9 million, bringing full year gross profit to $2.8 million, a significant increase over the prior year's full gross profit of $0.2 million. Again, this improvement marks the second year in a row in which our year-over-year gross margin has improved dramatically as we registered a movement from negative gross margin to positive gross margin in fiscal 2023. This improvement is attributed to our unmanned vehicle business, particularly the higher-margin WAM-V leasing business. I'm enthused about the progress we've made in this area and our momentum heading into fiscal year 2025. Our operating expenses for Q4 '24 amounted to $7.5 million and $32.2 million for fiscal 2024. The year-to-date figure includes approximately $3.9 million and extraordinary expenses related to the company defending litigation and other sales offensive [ph] tactics relative to the dissident shareholder activity previously described by Philipp. These costs include legal fees, advisory expenses and other related costs. We hope for these to be onetime cost, although there can be no guarantee that we will not incur similar costs in the future. As for the net result, we reported a net loss of $6.7 million for Q4 '24, bringing net loss for fiscal 2024 to $27.5 million as compared to a net loss of $26.3 million for fiscal 2023. This is despite the materially higher extraordinary expenses I just noted. We continue to manage our costs tightly making targeted investments in the personnel and structure needed to support our strategy and plans for growth. We expect our operating expenses to decrease materially going forward and as a result of our plan to achieve profitability. Finally, our backlog at April 30, 2024, stands at $4.9 million as compared to $4 million in the prior year. A significant portion of this increase is driven by our previously announced recent expansion into Latin America as well as the recurring revenues to be generated under long-term leasing contracts. On the balance sheet front, our combined cash, unrestricted cash, cash equivalents and short-term investments as of January 31, 2024 totaled $3.2 million. Notably, we continue to maintain a debt-free balance sheet with no bank debt in our financial structure. You will also note our liability titled earnout payable for $1.1 million. This payable is due to the strong performance of our unmanned vehicles business during fiscal 2024 and represents the completion of the final earnout period as defined in our purchase and sale agreement related to our acquisition of MAR in November 2021. In terms of cash flow, the net cash used in operating activities for fiscal 2024 amounted to $29.8 million. This primarily reflects our net loss, the payout of employment bonuses accrued during fiscal year 2023, the payment of the earnout accrued during fiscal 2023 as well as the payment of expenses related to the dissident shareholder activities, as I just mentioned. Finally, you will note that our inventory balance increased by approximately $3.8 million to $4.8 million versus the prior year. This investment in inventory was necessary in order to satisfy backlog as well as our planned growth in revenue for fiscal 2025. That covers our financial update. Before we enter Q&A, I'd like to remind everyone that the purpose of today's call is to discuss our fiscal year 2024 results as well as our financial outlook. As we head into the Q&A, we ask that you limit your questions to these topics. Thank you. At this time, operator, can you open the floor for questions?
Operator: [Operator Instructions] Our first questions come from the line of Jeff Grampp with Alliance Global Partners.
Jeff Grampp: Thank you for the time. I was curious, first off, maybe we can start on the backlog side of things. You guys had some nice growth sequentially and even over the last few months since that number, you guys have continued to announce some nice ones publicly. So just wondering if there's maybe a more recent backlog number that you guys can share? Or maybe we need to wait, I don't know the month or so for the next earnings release.
Philipp Stratmann: Jeff, thanks for being on. Yes. You're entirely right. Obviously, there's been -- the growth has been fairly evident and steady and we keep on scaling up. As Bob said, we have just under $5 million of backlog at the end of the fiscal year that we're taking into the current fiscal year. We will be providing updates on that as that progresses at the next earnings call. But I think what's encouraging from our side. As we said, we put out guidance that we think contracted orders for fiscal '25 are going to be $12.5 million [ph]. And I think revenues will be very similar to that. If you look at the fact that we've entered the year with about $5 million of backlog plus what we announced, I think we feel very comfortable that the targets we put out there are achievable and we'll continue on the growth trajectory. But we'll certainly provide updates as we go through the year.
Jeff Grampp: Fair enough. I appreciate that. And with respect to that, contracted order KPI that you guys put out there. What do you guys view as kind of the biggest risks to achieving that, whether those are external things that are perhaps out of your control related to customer decision time lines, things of that nature versus things that you guys are focused on internally. Like what keeps you guys up at night with respect to meeting that KPI that's not out there.
Philipp Stratmann: I think part of the things that we're obviously constantly looking at is conversion from initial conversations through to getting the PO in hand and then delivering for our customers. It is important for us to continue to deliver high-quality products because, as you've seen, several of our sales over the year have come from repeat customers. The benefit of repeat customers is obviously that, that also materially reduces the time that we get from the conversation through to the next delivery. I think we're also very targeted in the geographic expansions that we're looking at. We've had several recent announcements for Latin America and you've seen several announcements for the Middle East. And I think we are targeting those specifically. On those, there might be a slight delay that you see from contracted order [ph] to revenue because you're obviously going to have to go and ship systems that we currently assemble in the United States over to those destinations. And I think that's obviously always something we're looking at in terms of timing and where it sits within our kind of quarters and fiscal year.
Jeff Grampp: Great. That's helpful. And if I could just sneak one more in. OpEx trended down nicely for -- to wrap up the fiscal year. You guys mentioned in the prepared remarks continuing to evaluate some ways to perhaps improve that. So is it fair to think that relative to that Q4 run rate that there's still some potential for OpEx improvement as we look into fiscal '25? Or how should we think about the overall expense profile of the business moving forward?
Philipp Stratmann: Yes, I think that is a fair statement to make. I mean, as we said, we've further controlled and contained third-party expenditures. We've gone through a further head count optimization and really focusing on what is needed to be delivered. And what's needed to be delivered is converting our systems -- system discussions into backlog into revenues, operating our systems for our customers and maintaining an edge where we continue to integrate solutions. And I think you would have seen a noticeable trend in us bringing on board more solution delivery partners, people like Teledyne, people like SES, work we're going to be doing with Unique and others. And I think all of those are going to help us bring down OpEx further and keep very tight control on the costs.
Jeff Grampp: Great to hear. Looking forward to tracking the progress.
Operator: Our next questions come from the line of Shawn Severson with Water Tower Research.
Shawn Severson: Philipp, you've talked a little bit about the commercial inflection point having hit and we've seen a lot of that showing up in the results and the items you discussed. But -- what I'm trying to get at is understanding, was this just related to the time in the market and the commercialization of the product? Or was it related to greater sales effort? Or are there certain things you can point to that really seem to have pushed the commercialization inflection point through quickly here. And I'd say, like the last 6 months, it's really been noticeable.
Philipp Stratmann: Yes. I am noting, Shawn and thanks for the question. I think you're right, there's definitely been a change in pace that we've seen but I wouldn't just put it down to market conditions. Obviously, I think we all know what's going on in the markets in terms of autonomy, robotics and artificial intelligence. But I think at the heart of it lies the fact that we developed a set of solutions that were targeted at specific segments of the market. We brought on board a very targeted commercial team and obviously, with Matt Burdyny, our Chief Commercial Officer, really focusing on the ocean technology, defense and security and offshore energy markets and targeting customers and regions where we know that there is an actual market for our systems and solutions. I think the other thing that we did and is one of the reasons why we announced at the end of calendar 2023 that we had substantially completed all of our R&D activities is we focused on making the product and solution that we have, something that customers find easy to use and that actually provide a solution that saves them money and saves them carbon emissions instead of trying to perfect something that isn't yet operating. So I think we just became a lot more targeted and tenacious in going after opportunities in the market and working with our customers to help them solve their problems. Obviously, in a general market trends towards acceptance of autonomy help. But I think a lot of it has been down to a very targeted effort and focusing on doing what we do well instead of adding a much broader base of products that we could bring to there.
Shawn Severson: And kind of a follow on to that. You've mentioned shorter sales cycle with existing customers which makes sense, right? They're familiar with it and we would expect that. Are you seeing a shortening of the sales cycle with new customers as well? So I guess, always the concern is anything government-related or project-related like this, the sales cycles are very long and tenuous in some cases. But what are you seeing with nonrecurring customers but new customers as it relates to that?
Philipp Stratmann: Yes, it's a great question. I mean, Bob mentioned in his remarks, obviously, you can see it on the balance sheet, our inventory number has gone up. And that's helped us reduce the sales cycle that we're seeing with new customers as well. Because what we can now do is -- and actually, I just have my team in the middle of the night, do a demo phone overseas customer just tonight -- just last night, is the fact that having systems out and deployed under being able to bring a demonstration system to a customer when they're saying, "Hey, this seems interesting. How does this work?" We can turn around and going, "Well, why don't you come and see us and we're going to demonstrate it to you because we have one in the water," or we can go in the case of the vehicle, ship it to a customer and saying, "Well, why don't you try it out for a week. We'll come along and we'll provide our technicians." And it materially shortens that cycle because you're no longer going through paper exercises and then feasibility studies and then you're going to the next round -- the kind of the longer project approach that I think you sometimes see on kind of renewable developments per se. It enables us to go and step into what is more of an OpEx consideration at our customer side as opposed to them needing to squeeze it as CapEx into a larger project.
Shawn Severson: My last question is related to any political risk. I know it's such an emerging market, there probably isn't a lot but we do have questions sometimes. Is there any difference to you what happens in November as far as rollouts for commercialization?
Philipp Stratmann: I appreciate the question, Shawn. We look at the fact that we provide systems that strengthen National Security. And in our view, no matter what happens in November, National Security, as part of that Ocean Security, is going to be remaining a paramount importance to the United States and to our allies. At the same time, if you're looking at it globally, population keeps increasing globally and there is an increasing demand for energy. So, whether -- and the fact that our systems can be used for oil and gas producers, or by offshore wind producers. So we don't see a material political risk; and that's really because we provide dual-use technologies that enable any and all operators that are in the ocean to keep operations secure, cheaper and if so desired by them reduce their carbon footprint as well.
Shawn Severson: And congratulations on the progress, gentlemen.
Operator: Our next question is come from the line of Peter Ruggiere with Dawson James.
Peter Ruggiere: You guys have growth, it sounds very great. I have a lot of questions, actually. Just a question on the oil and gas part of it. It was a contract where some of you're working on several years back in the Gulf of Mexico with oil and gas decommissioning, are you guys still working towards that?
Philipp Stratmann: Peter, I appreciate the question. I think that contract might predate most of us here. In general, we do still work with many of -- or we provide systems to many of the oil and gas operators. As you've seen, a lot of the work that we've done is instead of us going and working with the large oil and gas operators directly, we are working through their service providers. And that is what's helped us increase the pace with which we are getting to sales and orders. If you're looking at the work we've been doing with Samara, Samara does work for all of the large oil and gas providers. So as a result of that, our vehicles are now starting to operate in that area. We are in ongoing discussions with various Tier 1 and Tier 2 service providers to look at buoys to work on work for exclusions and monitoring, like we did in the North Sea, do work on wellhead monitoring and so on and so forth. So it's certainly a segment we keep an active look on. But I think the approach to the segment has changed from going directly with the large oil and gas customers to the service providers because the service providers have a greater need for our systems and are able to spec them in more quickly.
Peter Ruggiere: Okay. Because we're working with Premier Oil for a long time in the Adriatic Sea, that was for a while. Are you still -- is that buoy still empowering that research facility in Chile?
Philipp Stratmann: No, that contract was completed last year. And the buoy was returned to us, has been refurbished and is currently being prepared for other deployments and projects that we are finalizing.
Peter Ruggiere: Okay. I heard you say that you’re -- the buoy has more power now than it did before, or producing more power. Is that correct?
Philipp Stratmann: Yes, that is correct. What we've done is, as we launched our next-generation buoy in order to become the follow-on model to the PB3. What we did is we reduced all externally moving parts on the system and move the wave energy conversion system entirely inside of the buoy. What that's enabled us is the ability to provide solar panels and small wind turbines on top of the buoy which provide additional power generation capabilities. It also means that we have opened a much broader range of regions that we can now supply product into. We recently announced that we are providing a buoy into the Middle East. There's very little wave activity in the Gulf region. But having the ability or now having the solar and wind systems on there means that we can also service those markets. We still work on the same principle that any power we generated is used to be stored as energy in the battery packs and then we power all the payloads on the batteries that we have inside of our buoys.
Peter Ruggiere: Okay. How many buoys do you have in the water right now? By any chance?
Philipp Stratmann: I'd have to double check that number for you. I think it's -- we have a couple of demonstration systems out and we are shipping a couple of systems over for various customers.
Peter Ruggiere: Okay. What do you see the biggest market because the WAM is sort of really interesting with the drones and stuff like that. Is that going to be the biggest market? Or is it the oil and gas possibly or the illegal fishing -- I know you did a big study in Japan and you have [indiscernible]; I guess, in the Philippines a couple of years back. And then the COVID thing happened and everything kind of got delayed, I believe, that's correct.
Philipp Stratmann: I think yes, we would -- we look at this under Merrows, this kind of overarching umbrella that we put together. We look at illegal fishing really being part of defense and security. And we do see defense and security as a major market and it so happens that the bulk of defense and security is the government as the end customer. But again, similar to oil and gas, we are approaching that by working with larger prime contractors that are able to help navigate the contracting mechanisms that exist within the government, so we can provide systems more quickly into that. And we do see opportunities for both of our underlying platforms, vehicles for autonomous roaming and buoys for permanent resident monitoring and intelligent surveillance and reconnaissance. I think offshore energy which includes oil and gas, is going to continue to be an important market for us. But what is interesting to us is that many of the applications that are being utilized by -- our customers use our systems for in offshore energy are similar to the applications that the defense and security side users which is around monitoring, using the ability that we could launch aerial drones, using the ability we can launch underwater drones to do offshore energy infrastructure inspections and also doing general survey work. So we have found that the solutions to provide overlap in those areas but I would see us continuing to service big markets.
Peter Ruggiere: Okay. On your -- like a couple of questions on the backlog, I understand but the pipeline you have on April 30, is it $71 million? And in the quarter before, it was $77 million, at the end of the third. Are you -- the size has went down a little bit. Is that because you're converting it into actually revenue at this point? And what does that pipeline consist of? My question on that.
Philipp Stratmann: Yes. So part of it is because we are converting opportunities in the pipeline into backlog and then obviously from backlog into revenues. I think we put our new IR deck last night. current pipeline is at $85 million and it consists of opportunities under negotiation, opportunities where we have submitted proposals, opportunities where we've executed NDAs with customers and are scoping what a future program project contract could -- would look like. So there will always be some fluctuation. But what is encouraging to us is on the basis of the size that we've got, as long as we keep on pulling down a small percentage of what we've got in the pipeline and then keep on refilling the pipeline, we get a really nice churn that we can start seeing that is going to translate into year-on-year growth and a steady baseline of revenues.
Peter Ruggiere: Okay. And your margins are about -- gross margin of 50%, correct? Around there?
Philipp Stratmann: Yes, gross margins have stabilized for the last few quarters in that 50% to 55% region.
Peter Ruggiere: It used to be a lot lower, I believe.
Philipp Stratmann: I think you're correct. I think -- and a lot of that has got to do that. We've changed from doing demonstrations or chasing research and development grants to having a set of commercially available solutions and platforms that we're providing to customers who are wanting to use these and it's becoming much more of a -- it's a commercial service offering that we provide.
Peter Ruggiere: Right. And it might be the last question but the contract orders that you put on the '25 guidance, $12.5 million. Does that include everything? Or you -- is that just a low number of certain -- could you do $50 million, $100 million in revenues. $12.5 million, that's not the number for the entire year. Is it for total revenue?
Philipp Stratmann: $12.5 million is what we're putting out there as guidance for this year. If you look at it, it will be 2.5x scale over the last year, now we did just over 2x from the year before that. And that is certainly what we see -- that's sustainable growth that -- that we can go and fulfill by maintaining tight control over costs and delivering high-quality products, because, ultimately, we are still needing -- these things need to be built and need to be shipped. But we are maintaining an ongoing focus on growth by doing growth without sacrificing quality and the ability to maintain margin.
Peter Ruggiere: Okay, all right. Well, thank you very much.
Philipp Stratmann: No. Thank you, Peter. Appreciate your question. Thank you for being a long-term shareholder.
Operator: As we have reached the end of our question-and-answer session, I would now like to turn the floor back over to Dr. Philipp Stratmann for closing remarks.
Philipp Stratmann: Thank you for being a shareholder and for supporting our ongoing growth and execution of our strategy. We are excited and look forward to continuing to deliver for you, our customers and all of our stakeholders. Thank you.
Operator: Thank you. This does conclude today's teleconference. We appreciate your participation. You may disconnect your lines at this time. Enjoy the rest of your day.